Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Inuvo Incorporated First Quarter 2013 Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Alan Sheinwald. Please go ahead, sir.
Alan Sheinwald: Thank you, operator. Before we begin, I'm going to review the company's Safe Harbor Statement. Statements in this conference call that are not descriptions or historical facts are forward-looking statements relating to future events. And as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially. And when used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Inuvo, Inc., are such a forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov. So with that, I'd like to introduce Mr. Richard Howe, Chief Executive Officer. He will also be joined on the call today by Mr. Wally Ruiz, our Chief Financial Officer, today. And so with that, I'd like to congratulate management on improving their cash flow dramatically during the first quarter and introduce Mr. Rich Howe, CEO of Inuvo. Rich, the floor is yours.
Richard K. Howe: Thank you, Alan, and thanks, everyone, for joining us today. We are pleased to report that revenue for the first quarter of 2013 was $15.9 million, a significant increase over the $8.8 million reported in the first quarter of 2012. We are equally encouraged by the improvement in our adjusted EBITDA for the quarter, which at $1.4 million, was meaningfully better than the comparable period in 2012 where adjusted EBITDA was $212,000. On today's call, I'd like to provide a brief overview of the first quarter, discuss where we are headed for the year and offer some updates on information communicated recently on the March 13 year-end call. Following my opening statements, I will turn the call over to Wally for a more detailed accounting of our financial results, after which, I will have some closing remarks for us. As a reminder for those of you who are new to the company, we organize our business and report along 2 segments. Our Network segment, which includes all the revenue from the delivery of ads into our partners, ad mobile and desktop websites and applications, as well as the revenue from our owned and operated websites. And the Applications segment, which includes the revenue from the company-owned applications, which are marketed directly to consumers through various online marketing methods. The growth year-over-year was driven principally from within the Network segment, which now makes up roughly 68% of overall revenue and contributed $10.8 million in the quarter. The Applications segment delivered $5.1 million or 32% of overall revenue in the quarter. The increase in contribution to overall revenue from the Network segment reflects our focus on this part of the business and the opportunity we see within the mobile space. More on that later. On our year-end call, we had anticipated revenue for Q1 would be somewhere between $16.2 million and $16.5 million and while revenue in the quarter was slightly lower than we had thought, it represents, nonetheless, a very strong first quarter, given the more typical seasonality issues we've experienced between January and April. The reason why revenue was lower than expected was because we experienced the marketplace pricing change in mid-March that was unexpected. This is not an uncommon event in our business and typically occurs when the marketplace owners, which in this case are Microsoft and Yahoo!, modify their pricing algorithms so as to optimize performance for themselves and their advertisers. Now since we do not typically receive forewarning of these changes, the challenge for us is not the change itself, but rather adapting to the change, which often takes between 30 and 90 days. We do not view this as a long-term issue and, in fact, we see revenue improving well leading into May, based on the changes we made in late March, and we expect to see continuing improvement throughout the remainder of the second quarter. Quality, subsequent to the changes, is as high as it's ever been, which for us is a strong indication that we have adapted quickly and correctly. Based on our internal reporting, revenue for the first 7 days of May was approximately $155,000 per day and has been headed upwards since the end of March and is already trending higher year-over-year. Our largest revenue day so far this quarter was $170,000. Within the first quarter, revenue, gross profit, operating margins, the net loss and debt were all improved materially relative to the last year. And as we exit the first quarter, we expect to see ongoing benefits to operations from this trend into Q3 and Q4, particularly, now that we have executed on our office consolidations, a move designed to improve cash flow within the business. Managing cash remains a very important part of operating our business and we have been cash flow positive since August of last year and the $1.4 million of adjusted EBITDA delivered within the quarter reflects the progress the team has made here. That being said, we remain determined to implement efficiencies wherever possible and in our business. And it maybe worth noting that on a revenue per headcount basis, Inuvo is significantly more efficient than its peer group. In March, we had announced that we are expecting to realize approximately $120,000 of monthly expense benefits from the move. As discussed on that call, the 3 largest components of that savings were the Tampa lease, which we exited in March; the New York lease, which I am pleased to report we sublet in April at cost; and the New York data centers, which we are on track to exit by the end of June. We have already secured 75% of this benefit and we expect ongoing cost benefits associated with the move as a result of the lower cost basis in our new location in Conway, Arkansas. The new office in Arkansas has been up and running since April 1 and we now have over 19 full-time employees in that office out of the 36 total employees we have across the company, currently. I remain pleased with the quality of talent we have recruited in Arkansas and while we have experienced some disruption associated with the move, we feel confident that we have and are managing through that transition judiciously. We have leased shared office space in New York, for our New York-based employees, and moved our key Florida-based employees to home-based offices. I'd like to now briefly talk about the 2 segments of the business and where we are headed, starting first with the Network segment. This segment of the business has been the principal driver of our growth over the last 12 months. Our expansion into mobile and the development of owned and operated Web Properties both rely on the ad services from this segment to be successful. With this in perspective, roughly 12% of our overall revenue in the first quarter was from owned and operated websites and we are already trending towards 18% in the second quarter. As it relates to mobile traffic, 15% of all traffic within the network originated through a mobile device in the first quarter and this too has been headed higher in the second quarter, already trending towards 20%. We are currently working either directly or indirectly with over 150 mobile applications that are in various stages of their implementation of our ad services. Consumer web activity is still growing robustly at 6% a year, but mobile web traffic is increasing at an astonishing 55% per year. We are extremely well-positioned both as a result of our technology and our relationships to take advantage of this opportunity for market expansion. Now we recently announced the launch of our local search web property into Europe. We see attractive growth potential in the local search part of the business over the next 18 months and expect to continue the expansion of our domestic and internationally owned websites across a number of high-interest consumer categories. You should expect to hear about launches of new web properties throughout the remainder of the year and as has been discussed in the past, each new web property will typically be followed by the launch of a companion application, increasingly, a mobile-based application. Additionally, within this segment of our business, we have also been very encouraged by many of the new growth initiatives coming out of Yahoo! and we were working together with them on some exciting new ways to package search results for the display markets. More on that in the ensuing months. The Applications segment of the business continues to improve following a number of recent changes we discussed on our year-end call in March. Our application business should be viewed in many respects in a manner similar to which we view our expansion into owned and operated websites. Not only do we want to serve ads into the applications of others, which we, in fact, do today, but we also, where possible and when it makes sense to do so, want to effectively control that distribution by owning the application itself. The ALOT Appbar is a perfect example of this controlled distribution strategy, where we have approximately 4.7 million worldwide users of an application whose income is derived from advertising. View this as one of many channels where Inuvo drives profitable revenue from advertising, each and every one of them competing internally for marketing dollars and resources based on their respective contributions to the overall business. While this is perhaps not commonly known, we already provide advertising and coupon services to a number of toolbar companies, so this concept of both partnering and owning is already well proven at Inuvo from both a website and application perspective. This segment of the business has contracted over the last 6 months. However, this only means that we are optimizing this channel for profitability. And while we could grow this part of the business more aggressively through our marketing spend, currently, the economics associated with other opportunities offer a more immediate return on investment. This does not mean we are not taking steps to position this segment for growth. On the product development front, we recently reported the launch of a chrome version of the ALOT Appbar, which opens us up to a growing market that we had previously not served and we are also preparing development perspectives strategically, we have focused our attention towards mobile-deployed applications. As mentioned earlier, each of the websites we launch is expected to have its companion application and we expect to launch our first mobile application with BargainMatch in late second quarter. I would like to now turn the call over to Wally for a more detailed analysis of the financials. Wally?
Wallace D. Ruiz: Thank you, Rich. Good afternoon, everyone. Thank you for joining us today to discuss the company's financial results for first quarter of 2013. My comments will refer to the press release in the 10-Q, which we are filing today. I would like to remind everyone that for comparison purposes, the first quarter of 2012 included 1 month's worth of the acquisition that we made in that quarter. Throughout my talk today, I will compare the first quarter of this year with the first quarter of last year and, where relevant, to the immediate prior quarter, the fourth quarter of 2012. As Rich mentioned, Inuvo, today, reported net revenue of $15.9 million in the first quarter of 2013. This is a 82% increase over the same quarter of last year. Both the network and applications segment contributed to the higher revenue of the current year quarter. The Network segment reported $10.8 million of revenue in the current quarter, an increase of 59% over the same quarter last year. The Network segment represents 68% of the company's total revenue. The increase in the first quarter of 2013 over the same quarter last year is due to the strong increase in the delivery of advertisements to partner websites and to our own websites. Revenue from partners' websites increased 60% compared to the first quarter of 2012. The result of expansion across publisher segment and improvement in quality and growth in mobile. Revenue from our owned and operated websites increased nearly eightfold compared to the first quarter of 2012, largely due to the expansion of websites, particularly, the local search directory at local.alot.com. All other revenue in the segment, non-core operations, declined $230,000 in the first quarter compared to the same quarter of last year. The Applications segment representing 32% of the company's total revenue in the first quarter, reported $5.1 million of revenue. This segment is mostly comprised of operations acquired in the merger in March of last year. The Applications segment revenue in the first quarter of 2013 increased $2.7 million compared to the same quarter last year and was $1.7 million lower than the immediate prior quarter, the fourth quarter of 2012. The policy changes in the first quarter by our advertisement sourcing partner required that we modify marketing programs. The results of which impacted our ability to acquire new ALOT customers as cost effectively as we have been able to in the past. Gross profit was $8.4 million in the first quarter of 2013, this is a 147% increase over the same quarter last year. Both the Network and the Applications segment contributed to the higher gross profit. Gross profit as a percent of revenue was 53% compared to 39% last year. In the first quarter of 2013, the Network segment gross profit as a percent of revenue was 34.5% compared to 23% for the same quarter last year. The increase in the Network segment gross profit is primarily due to the greater percentage of advertising driven through our owned and operated websites. The Applications segment gross profit as a percent of revenue was 92% compared to 81% at the same quarter last year and 88% for the immediate prior quarter. The higher gross profit is primarily due to the discontinuance of underperforming marketing programs. Operating expense was $8.8 million for the first quarter. This is a $3.7 million increase over the same quarter last year and a $1 million decrease from the immediate prior quarter. The increase in the first quarter is largely due to having 1 month of merged operations in the last year quarter. The decrease in the operating expense in the first quarter of this year compared to the immediate prior quarter is due to approximately $1 million lower search costs in the current quarter and to higher expenses in the fourth quarter of 2012 due to a $505,000 charge associated with the departure of the former CEO. Search costs are mostly associated with the ALOT operations within the Applications segment where we bid on keywords in order to drive traffic to our landing pages. The successful results from which, is that a consumer downloads our product. To a lesser extent, we also spend on search for owned and operated web properties. Search costs increased $2.9 million in the first quarter of 2013 over the same quarter in the prior year and decreased approximately $400,000 from the immediate prior quarter due to the policy changes mentioned above. Compensation expense increased $696,000 in the first quarter of 2013 over the same quarter in the prior year and decreased $252,000 from the immediate prior quarter. The decrease is due to the $505,000 charge in the fourth of last year that was previously mentioned. Compensation expense in the current year quarter includes a nonrecurring charge of $316,000 for severance for employees who chose not to relocate to Arkansas. Selling, general and administrative expense or SG&A, increased $160,000 in the first quarter of 2013 over the same quarter in the prior year and decreased $370,000 from the immediate prior quarter. The increase in the current quarter over the same period last year is primarily due to a $406,000 higher depreciation and amortization charge. The decrease in the current quarter SG&A from the fourth quarter of last year is largely due to a $222,000 charge in the fourth quarter for the allowance for doubtful accounts, as well as due to generally lower operating expenses in the current quarter. As Rich said, the relocation to Arkansas has gone well, and we are beginning to see the benefits in the form of lower operating expense. At this point, the state has reimbursed nearly $1.5 million in relocation expenses. Net interest and other expense was $107,000 in the first quarter of this year compared to $157,000 for the same quarter last year. The lower interest expense is due to having written off the remaining bank financing fee of $100,000 last year, when we signed a new agreement with the bank associated with the March 2012 merger. During the first quarter, we received a favorable resolution to an income tax audit of our discontinued German subsidiary, resulting in a tax credit of $125,000. The company reported a net loss of $291,000 or $0.01 per share for the 3 months ended March 31, 2013, and that compares to a net loss of $1.9 million or 13% per share for the corresponding period last year. EBITDA adjusted for stock compensation expense and severance associated with relocation was $1.4 million in the quarter that ended March 31, and that compares with an adjusted EBITDA of $212,000 for the same quarter last year. Turning to the balance sheet. Cash and cash equivalents totaled $3.2 million at the end of March, and that compares to $3.4 million at the end of December of 2012. Bank debt was approximately $6.9 million compared to $7.8 million at the end of 2012. Again as mentioned, the company has been generating a positive cash flow from operations since last August. With that, I would like to turn the call back to Rich for closing remarks. Rich?
Richard K. Howe: Thanks, Wally. In closing, I would just like to summarize. We really did have a great first quarter and while we did experience a slowdown in mid-March and into April, we see plenty of opportunity within our business right now as we look out towards the end of the year. We made significant improvements in revenue, gross profit, cash flow, expenses, income and debt and we continue to measure our efficiency as a company against our peer group. We've already secured 75% of the monthly benefits that we had hoped we would get from the move and we expect to realize the entire benefit starting towards the end of June. We do continue and do plan to continue to expand our owned and operated website properties. They're currently generating about 12% of our overall revenue from this strategy and we saw that in Q1, and has been trending towards more like 18% in the second quarter already, a good indication of the growth of this part of our strategy. We continued to aggressively exploit the mobile growth curve and we've already seen, coming out of the first quarter, about 15% of our traffic actually sort of managing ourselves towards this direction, we see 15% of our traffic coming from mobile and we're already trending towards 20% as we're heading into the second quarter. And finally, our move to Arkansas is almost completed and despite some minor disruptions in the business, we are exceptionally pleased with the quality of the new employees and our original decision to move the company here. And with that, I'd like to now turn the call over to the operator for questions and answers. Operator?
Operator: [Operator Instructions] And our first question comes from Paul [indiscernible] who is a Private Investor.
Unknown Shareholder: I have a couple of questions here. The first one I'd like to talk about would be the patent. We haven't heard much about that. I know it took you folks many years to get that patent granted to you, there wasn't really a lot of fanfare about it or anything. It's been several months since you made the announcement. So I guess the basic question would be, in what way is that going to add value to Inuvo?
Richard K. Howe: You want me to answer that question first or you want me to answer the other one?
Unknown Shareholder: Yes, go ahead.
Richard K. Howe: Okay, so clearly, we wouldn't have chased the patent down if we didn't think there was some value in it. And just as a reminder, I mean, the patent is a patent against -- is for the detection of fraud in a click. And this is something in technology that we've had operating on our network for many, many years and goes back, in the case of our patent, to 2004, which is a long time in Internet years. Those of you who can remember back to that timeframe can probably recall that the bigger company who now dominate, were a lot smaller then. So we did chase the patent, we think it's a valid patent, but maybe perhaps unlike others in our marketplace, we're not just big fans of coming out and telling everybody that we might be able to yield a benefit from something before we have done everything we need to do to evaluate the real value of it. And so the short-long answer is, we chased the patent because we think there's value in it, we're exploring how that could bring value to Inuvo shareholders and if and when we determine that there is value from that, we will let people know about it.
Unknown Shareholder: Okay, well that's good. The next question I have is, you may have touched on this briefly already, but I mean, we know about BargainMatch, LocalXML, Yellowise, et cetera, et cetera. Is there anything new that we haven't heard about, like something that you folks are working on, for example?
Richard K. Howe: Yes, there's a few of them, Paul, but we have not put a press release out on them. So I think I mentioned in my call script, the owned and operated website component of our business has been growing. All 3 names you mentioned, BargainMatch, shopping comparison websites, local -- a local search directory; Yellowise, another local search directory, are all web properties that you do know about and in the case of the locals, this has, like, been growing very, very nicely for us as I've just suggested. But we have a whole other group of web properties that we are in the process of completing development on that we will make some announcements about, probably starting in Q2.
Unknown Shareholder: Okay, well that's great. I think I read somewhere also where Google is sort of getting out of the affiliate network business, I believe. Is that going to affect Inuvo in any way?
Richard K. Howe: The answer is no. It won't affect us and here's why. We're really not in the affiliate marketing business. Now that being said, we do have a small component of our business that would be in that same marketplace that Google now exited. But the revenue we generated from that part of the business is very small, Paul. At this point, it's down to $1.5 million, maybe, a year. So that has not been a focus of Inuvo for at least the last 3 years. We do have it. It's there. And by the way, the nature of the business that we run there, the $1.5 million is really not at all like the affiliate network business that Google is exiting now anyhow. The business we do have is mostly directed to business, so we have customers like MGM, for example, who is a customer on that part of the business. So the long-short answer is, there will be no impact to us from that move.
Unknown Shareholder: Okay, well that's good. The last 2 questions are brief. What is going on as far as the AMEX listing situation? And the second question would be, how about analyst coverage, do we have any covering the company now?
Richard K. Howe: Wally, do you want to take both of those?
Wallace D. Ruiz: Yes, sure. So on the New York Stock Exchange, we have -- they asked us to submit a plan for returning to compliance during 2013, which we did last December and which they approved. So at this point we are tracking to that plan and they'll be monitoring it throughout the year. So we expect to be back in compliance with the stock exchange and to continue to be listed. But at this point, we're tracking to the plan that we submitted to them. As far as analyst coverage, we have very little at this point. We have 1 analyst that just changed hands recently, left the Craig-Hallum, and Craig-Hallum suspended analyst coverage until they hired a new analyst. So we expect that to be covering us very shortly, in the next several months, as they hire somebody new. But other than that, we have not -- that's just the extent of our coverage at the moment.
Operator: [Operator Instructions] And the next question comes from Eric Martinuzzi with Lake Street Markets.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: The mobile business that you talked about, good growth there, and I think on a percentage basis, the best upside. Is that $1.6 million, where do you think that can be either in the coming quarter or maybe by the end of the year on an annualized basis? Do you have anything you can tell us there?
Richard K. Howe: We can't tell you anything that would sound like were giving guidance, but the fact that we've been talking about mobile quite a bit, Eric, I think suggests just how quickly that part of what we're doing is growing for us. So like I mentioned on the call, I mean network traffic, which we've kind of been -- it's one of the reasons why network traffic is at 15% of the overall traffic to begin with because we're focused on this area. But we just see so much more opportunity there and every time, when we start moving in this direction either through the placement of ads into mobile application or as we see how much traffic is coming to a mobile-based version of the website as opposed to a desktop-based website, we start to convince ourselves that this is the direction that we need to be moving and we've got to be moving faster. So it's going to be a big part of the growth we experienced this year based on the trends we're seeing right now.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: Okay. And this is you inside of other people's apps or this is you in Inuvo apps on mobile devices?
Richard K. Howe: Both.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: Would you care to take that a little deeper, or...
Richard K. Howe: I don't know how. Probably more in other people's apps than in our own, from a revenue growth perspective. I think I've said in my script, I mean, we're already working with over 150 application owners and we have a pipeline that's at least 2x that big that I'm aware of. It could be probably -- could be 5x that big.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: I just come at the business, I guess, from a virtual frame of reference from a little over a year ago and in that scenario, it's about kind of a desktop world and people downloading apps, downloading the toolbars and then searching using those toolbars, either using it as their Home Page or using as the toolbar inside of Internet Explorer. So that was the background for that question.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: And then just on the pricing change. This is not the first time that Microsoft and Yahoo! have sort of tweaked their business model and it's had an impact on you guys. How is this different? I can't recall when it was, it might have been 2010 or so, 2011, but it was a pretty significant disruption. How is it different this time as far as maybe advanced warning or the scale of the change, the impact to your business?
Richard K. Howe: I'll answer the second one. So the scale is less. The warning is the same. Eric, you've been tracking a lot of companies in this space before. The simple answer is, the marketplace is controlled by a set of algorithms and they routinely change -- they, the owners of the marketplace, which is in this case, Microsoft and Yahoo!, routinely change their algorithms, most of the time because they're trying to improve the results for themselves and their advertisers. They don't forewarn that they're making those changes and so what happens is, because we have quite a sophisticated technology in the company, we see the change happen in realtime and usually, you can see it happen very quickly. So the problem for us is that we have to adapt to it. Since we're not given any prewarning that there's a change in the company, we don't have the ability to adapt ahead of time, so it means we have to react. The good news is, though, we've done this long enough and we know how to do that, that we can adapt quickly and that's what happens. And probably one of the best measures to determine whether or not we're reacting quickly enough is, well revenue, because this revenue is holding up and second is quality. And as I mentioned, in our case, in the second quarter, we're already seeing that we bounced back from the changes quite quickly.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: All right, and then on your European investment. As far as either a physical presence or European employees, is there any of that or is this all kind of getting a virtual footprint, so to speak, in Europe? Because I do know, again, from my history with the company, the costs of standing up, that physical presence can be quite burdensome, just wondering what we should expect there?
Richard K. Howe: It's the latter and I concur with you, having run a number of business that had physical presence in Europe, I have no plans to do that.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: Okay, All right. And then the balance sheet, plenty of cash to run the current business. But just curious to know what your expectations are for cash needs as far as investing in people, products, partnerships?
Richard K. Howe: Yes. We don't have any plans to raise, if the question's related to whether or not we're going to raise capital, the answer is we have no plans to raise capital in the near-term, either equity or debt based. We feel like the cash flow that the company's generating in our current debt financing arrangements provides sufficient capital to achieve the objectives we have set for ourselves for this year.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: All right, and where will those investments be primarily?
Richard K. Howe: Mostly on the network side of our business. Reflecting where we think the growth opportunities are.
Operator: And our next question comes from Dave Sokol, he is a Private Investor.
Dave Sokol: Looking at the daily revenues. In the first quarter, I believe you mentioned that they were averaging somewhere in the area of $185,000 per day and you're currently projecting, during this quarter, that we're averaging in about $155,000 per day. Is that correct?
Richard K. Howe: I didn't say that, but your numbers are right. So we did average roughly about $185,000 a day in Q1. And what I said was the last 7-day average for May was $155,000 and, in fact, what I said was, in the second quarter, we've already hit a high day of $170,000.
Dave Sokol: Okay, and with regards, so it sounds like there's somewhat of a falloff anticipated there during this quarter. How does that impact your overall anticipation of that being net-income positive for 2013? Any changes to that anticipated goal?
Richard K. Howe: No. We still believe that -- and are striving to be net-income positive for the year.
Dave Sokol: Okay. One other question. With regard to the Network side of the business, what's the accelerating revenues there? Where do you see margins going with that part of the business?
Richard K. Howe: It's been improving. And we believe they will continue to improve. Wally, it might be a question for you to show the comp on that one but the margins have improved and I think they will continue to improve. They're not going to dramatically improve, but we do and are forecasting some improvements there.
Wallace D. Ruiz: That's right. As the revenue increases, we get a better margin, we get a better rev share. So, yes.
Richard K. Howe: There are opportunities of scale in that business.
Dave Sokol: One last question. You mentioned that you have begun to recover roughly 75% of the savings from the lease arrangements. So I take it that you would currently be looking at experiencing about $90,000 per month and then getting that up to $120,000 goal by the end of the second quarter?
Richard K. Howe: Actually by the end of June, I guess that would be -- is that the end of second quarter? Yes, that's the end -- yes, the end of June. And candidly, it would be earlier if it were not for the fact that we've got growth initiatives that are development-oriented that we need to get out. And so we're kind of putting off the data center reload date because we don't want to put the growth initiatives at risk. Because when you move from one to another, you kind of have this other one, call it a week period where things are down. And based on what we see ahead of us right now, we don't want to do that. So we're not going to take that -- we don't want to take that risk and put our growth at risk just for 1 month. We'd rather not have $30,000 of savings for a month than lose the growth initiatives. So that's why it's the end of June and not the end of May.
Operator: [Operator Instructions] And our next question comes from Mike [indiscernible] , one of our Private Investor.
Unknown Shareholder: I had a quick question. Well, actually, I have a couple of questions for you. Rich, you had mentioned on the previous call that you guys were kind of looking around to possibly making some future acquisitions. Can you give any updates on that?
Richard K. Howe: Yes, sure. I guess, I'm always looking for acquisitions. Just part of being diligent, I guess. There's nothing imminent. The short answer is, I'm always looking for acquisitions that might be accretive, synergistic, pick a word, a good fit with our business. So will I make one or will we do one before the year's out? Maybe. Is there one imminent? No.
Unknown Shareholder: My other question is, can you speak a little bit about, I noticed, and again, it's by no coincidence and you certainly make no apologies about stressing the fact that Inuvo seems to be shifting its business model to a mobile-centered company. The question here is, can you give us any insight into the relationships you are working with in terms of PrivacyStar?
Richard K. Howe: Oh, sure. You bet. So PrivacyStar is a company-owned, in large part by Charles Morgan. Charles Morgan is on the board of Inuvo and also owns a part of Inuvo. So that's just, from a relationship perspective, that's the relationship. Now, as it relates to us doing any business with them we are doing something with them but it's very, very small in the context of what Inuvo does everyday. PrivacyStar is a mobile application developer. And as I mentioned earlier, we are already integrating our ad-based services into hundreds of mobile applications, one of them is PrivacyStar, to put that in context for you.
Unknown Shareholder: Okay, okay. And this is probably an oldie but goodie question. You probably haven't gotten it in a while. Can you talk a little bit about what your plans are to do with Kowabunga Daily Deals and also BabytoBee I haven't heard much and other investors, we haven't heard much about kind of what's going on with those websites in that sort of daily deals. Yes.
Richard K. Howe: Yes, sure. So I'll start with the daily deals one, the Kowabunga. We launched that business model, I guess, at a time when I would say the marketplace for daily deals was more lucrative. So what we found after we launched it was the economics of the business model weren't great. So the good news was we didn't spend a lot of money to get into that business and the other good news is we decided to get out of it as soon as we figured out we couldn't make any money in it. So you can look at it that way and say that we just shut it down and decided not to do anything else with it anymore. On the BabytoBee side, actually, that one, so you're now getting at me telling you stuff that I wasn't going to get tell you, but I guess I'll tell you anyways. So on that one, there is a marketplace for prenatal information, which is what the BabytoBee site is, it's really a place where prenatal moms can come in and learn things about their pregnancy and so we are actually exploring an expansion, if you will, of that website in the context of our owned and operated web properties business but we have not made any announcements about it yet.
Unknown Shareholder: Okay. I mean, thinking for being an investor in the company for a little bit. You guys have some wonderful resources right on the website that I could think will be easily translated into a mobile application. And I'm wondering if you guys had any thoughts about that, if you can't talk about it, that's fine, but in terms of making that site more mobile friendly.
Richard K. Howe: That's exactly what we're looking at doing.
Unknown Shareholder: Okay, great, okay. Last question. You guys have a posting about your Latin American campaign management job. And I asked this question because when you click on that website, and again, it's just a promo website announcing what you're trying to fill the position. When you look at that website, that's a beautiful website. When you guys -- can you just take this for what it's worth. The Yellowise website and the BargainMatch website, they don't seem to have the same sex appeal, if you will. Is there any way that you guys are thinking about or in the process of making your websites a little more sleek, a little more kind of grab-your-eye a little bit, like BargainMatch, you know what I mean?
Richard K. Howe: I do, I do. And the answer is actually -- your comment's not taken negatively at all, by the way, so thank you for having the guts to ask it. The answer is yes. In fact, we have a whole new branding and website skinning strategy that we are planning to launch, hopefully, towards the end of the second quarter and it will all be based around the ALOT brand that we had built up a lot of name recognition on as a result of the toolbar business. But again, it's not a toolbar, right? It's now a web properties business. So the name is just a good name. A lot of search, a lot of finance, a lot of -- you can just use the brand in a lot of different ways and yes, we're re-skinning them, they look a lot better, they look a lot fresher, a lot more modern, that is the plan.
Operator: It doesn't look like we have any more questions at the queue this time, sir. I'd like to turn it back to management.
Richard K. Howe: Thank you, operator. I'd like to thank everyone who joined us on today's call. We appreciate your continued interest to Inuvo and we look forward to reporting progress over the coming quarters.
Operator: Ladies and gentlemen, this concludes the conference call. We would like to thank you for your participation and you may now disconnect.